Operator: Welcome to the third quarter 2021, Phillips 66 Earnings Conference Call. My name is Sia, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question and answer session. Please note that -- note that this conference is being recorded. I will now turn the call over to Jeff Dietert, Vice President Investor Relations. Jeff, you may begin.
Jeffrey Dietert : Good morning, and welcome Phillips 66, third quarter earnings conference call. Participants on today's call will include Greg Garland, Chairman and CEO. Mark Lashier President and CEO. Kevin Mitchell, EVP and CFO, Bob Herman, EVP refining. Brian Mandell, EVP marketing and commercial. And Tim Roberts, EVP midstream. Today's presentation material can be found on the Investor Relations section of the Phillips 66 website, along with supplemental financial and operating information. Slide 2 contains our safe harbor statement. We will be making forward-looking statements during today's presentation and our Q&A session. Actual results may differ materially from today's comments. Factors that could cause actual results to differ are included here, as well as in our SEC filings. With that, I will turn the call over to Greg.
Greg Garland : Okay. Thanks, Jeff. Good morning, everyone. And thank you for joining us today. In the third quarter, we had adjusted earnings of $1.4 billion. We generated operating cash flow of 2.2 billion, which meaningfully exceeded our capital spending and dividends during the quarter. We returned $394 million to shareholders through dividends and in October, we increased the quarterly dividend to $0.92 per share. We believe in the secure, competitive, and growing dividend. Since we formed as a Company, we've returned approximately $29 billion to shareholders and we remain committed to discipline capital allocation. We're seeing signs of sustainable cash-generations improvement. We've made good progress on debt repayment, reducing our debt balance by $1 billion so far this year. We're on a path to pre -pandemic level of debt, strengthening our Balance Sheet, and supporting our strong investment grade credit ratings. Earlier this week, we announced an agreement to acquire all the publicly held units of Phillips 66 Partners. Your equity transaction simplifies our corporate structure and positions us to drive greater value for Phillips 66 shareholders and Phillips 66 partners unit holders. We continue to advance the Company wide transformation efforts that we began in 2019. We believe that strengthening our cost position is necessary for long-term competitiveness. We recently initiated an effort to identify opportunities to significantly reduce costs across our portfolio. We're in the process of scoping these reductions and look forward to updating you early next year on our progress. Recently, we announced greenhouse gas targets to reduce the carbon emissions intensity from our operations by 2030. Our targets demonstrate our commitment to sustainability and to meeting the world's energy needs today and in the future. With that, I'll turn the call over to Mark to provide some additional comments.
Mark Lashier : Thanks, Greg. Good morning. In the third quarter, we saw significant improvement in earnings and cash generation. In refining, we captured a meaningful improvement in realized margins. Midstream had strong earnings in the quarter and chemicals, the Olefins and Polyolefins business reported record quarterly earnings and marketing and specialties, had its second best quarter ever. In Midstream, we continue to advance Frac 4 at the Sweeny hub with construction approximately 1/3 complete and about 70% of the capital already spent. Additionally, we recently completed construction of Phillips 66 partners C2G Pipeline. CP Chem continues to pursue development of 2 world-scale petrochemical facilities on the U.S. Gulf Coast, and in Ras Laffan Qatar. In addition, CP Chem is expanding its Olefins business with a world-scale unit to produce 1 - hexene. The Alliance Refineries sustained significant impacts from Hurricane Ida and will remain shutdown through the end of this year. We continue to assess future strategic options for the refinery. We continue to progress Rodeo renewed, which is expected to be completed in early 2024, subject to permitting and approvals. Upon completion, Rodeo will have over 50,000 barrels per day of renewable fuel production capacity. The conversion will reduce emissions from the facility and produce lower-carbon transportation fuels. In marketing, we're converting 600 branded retail sites in California to sell renewable diesel produced by Rodeo facility. Our emerging energy group is advancing opportunities in renewable fuels, batteries, carbon capture, and hydrogen. With our recent investment in Novonix, we're expanding our presence in the battery value chain. Additionally, we recently announced the collaboration with Plug Power to identify and advance green hydrogen opportunities. We'll continue to focus on lower carbon initiatives that generate strong returns. We're excited about our participation in this dynamic energy transition, and combined with our commitment to disciplined capital allocation and strong returns. We're well-positioned for the future. Now, I'll turn the call over to Kevin to review the financial results.
Kevin Mitchell : Thank you, Mark. Hello, everyone. Starting with an overview on Slide four, we summarize our third quarter results. We reported earnings of $402 million. Special items during the quarter amounted to an after-tax loss of $1 billion, which was largely comprised of an impairment of the Alliance Refinery. Excluding special items, we had adjusted earnings of $1.4 billion or $3.18 per share. We generated operating cash flow of $2.2 billion, including a working capital benefit of $776 million and cash distributions from equity affiliates of $905 million. Capital spending for the quarter was $552 million. $311 million, was for growth project, including a $150 million investment in Novonix. We paid $394 million in dividends. Moving to Slide 5. This slide shows the change in adjusted results from the second quarter to the third quarter. An increase of $1.1 billion with a substantial improvement in refining and continued strong contributions from Midstream, Chemicals and Marketing and Specialties. Our adjusted effective income tax rate was 16%. Slide 6 shows our midstream results. Third quarter adjusted pre -tax income was $642 million, an increase of $326 million from the previous quarter. Transportation contributed adjusted pre -tax income of $254 million, up $30 million from the prior quarter. The increase was driven by higher equity earnings from the Bakken and Gray Oak pipelines. NGL and other adjusted pre -tax income was $357 million, compared with $83 million in the second quarter. The increase was primarily due to a $224 million unrealized investment gain related to Novonix, as well as inventory impacts. In September, we acquired a 16% interest in Novonix. Our investment will be mark-to-market at the end of each reporting period. Sweeny Fractionation Complex, averaged their record, 383 thousand barrels per day in the Freeport LPG Export facility, loaded 41 cargoes in the third quarter. DCP midstream adjusted pre -tax income of $31 million, was up $22 million from the previous quarter, mainly due to improved margins and hedging impacts. Turning to chemicals on Slide 7. We delivered another strong quarter in chemicals with adjusted pre -tax income of $634 million down $23 million from the second quarter. Olefins and Polyolefins had record adjusted pre -tax income of $613 million. The $20 million increase from the previous quarter was primarily due to higher polyethylene sales volumes driven by continued strong demand, partially offset by higher utility costs. Global O&P utilization was 102% for the quarter. Adjusted pre -tax income for SA&S decreased $45 million compared to the second quarter, driven by lower margins, which began to normalize following tight market conditions. During the third quarter, we received $632 million in cash distributions from CPChem. Turning to refining on Slide eight, refining third quarter adjusted pre -tax income was $184 million, an improvement of $890 million from the second quarter, driven by higher realized margins across all regions. Realized margins for the quarter increased by 119% to $8.57 per barrel, primarily due to higher market crack spreads, lowering costs, and improved product differentials. Pre -tax turnaround costs were $81 million, down from $118 million in the prior quarter. Crude utilization was 86%, compared with 88% in the second quarter. Lower utilization reflects downtime at the Alliance Refinery, which was safely shutdown on August 28th in advance of Hurricane Ida. The third quarter clean product yield was 84% up 2% from last quarter, supported by improved FCC operations. Slide 9 covers market capture. The 3:2:1 market crack for the third quarter was $19.44 per barrel compared to $17.76 per barrel in the second quarter. Realized margin was $8.57 per barrel and resulted in an overall market capture of 44%. Market capture in the previous quarter was 22%. Market capture is impacted by the configuration of our refineries. Our refineries are more heavily weighted towards distillate production than the market indicator. During the quarter of the distillate crack increased $1.55 per barrel in the gasoline crack improved $1.92 per barrel. Losses from secondary products of $1.98 per barrel improved. $0.40 per barrel from the previous quarter as NGL prices strengthened. Our feedstock advantage of $0.01 per barrel declined by $0.26 per barrel from the prior quarter. The other category reduced realized margins by $5.01 per barrel. This category includes RIN s, freight costs, lean product realizations, and inventory impacts. Moving to marketing and specialties on Slide 10, adjusted third quarter pre -tax income was $547 million compared with $479 million in the prior quarter. Our marketing business realized continued strong margins and so increasing demand for products. Marketing and other increased $62 million from the prior quarter this is primarily due to higher international margins and volumes driven by the easing of COVID-19 restrictions. Refined product exports in the third quarter were 209 thousand barrels per day. Specialties generated third quarter adjusted pre -tax income of $93 million up from $87 million in the prior quarter, largely due to improved base oil margins. On Slide 11, the corporate and other segment had adjusted pre -tax costs of $230 million, an improvement of $14 million from the prior quarter. This was primarily due to lower costs, related to the timing of environmental and employee-related expenses, partially offset by higher net interest expense. Slide 12 shows the change in cash for the quarter. We started the quarter with a $2.2 billion cash balance. Cash from operations was $2.2 billion. Excluding a working capital benefit of $776 million, our cash from operations was $1.4 billion, which covered $552 million of capital spend, $394 million for the dividend, and $500 million of early debt repayment. Our ending cash balance was $2.9 billion. This concludes my review of the financial and operating results. Next, I will cover a few outlook items. In chemicals we expect the fourth-quarter global O and P utilization rate to be in the mid-90s. In refining, we expect the fourth quarter worldwide crude utilization rate to be in the low-80s. We expect the Alliance Refinery to remain shutdown for the full quarter. We expect fourth-quarter pretax turnaround expenses to be between $110 and $140 million. We anticipate fourth quarter corporate and other costs to come in between $240 and $250 million, pretax. Now we will open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. As we open the call for questions, as a courtesy to all participants, please limit yourself to one question and a follow-up. [Operator Instructions] Your first question will come from Roger Read with Wells Fargo. Please go ahead with your question.
Roger Read: Good morning.
Greg Garland : Morning, Roger.
Kevin Mitchell : Good morning.
Roger Read: I guess let's take the first one just as the decision to buy in PSXP. I mean, I don't think it should be a huge shot, but I mean one of the questions we've gotten is why now? So maybe you kind of help us on that and then I'm just curious, at least at a high level, how it might change, how the Company reports going forward.
Greg Garland : Okay. Well, I'll take a stab at that, and then Kevin, Mark, Tim can help. First of all, I think probably, we all acknowledge that, this can roll in growing our Midstream business. If you look back on the pre - PSXP, so pre -2013, [Indiscernible] Midstream. The business generated about $500 million EBITDA, more than half of that is that the AMMO. Did a nice job in helping us build and grow a substantial Midstream. The market just doesn't refuel MLP at this point in time. Consider trading at a 9% yield, we've seen institutional ownership drop from the 90s into the low 70s. And then from our perspective, cost of capital is [Indiscernible] so it doesn't really provide an attractive [Indiscernible]. And then I will also say it -- provide a clear line of sight to valuation of our Midstream business from some of the parts basis. I'm not sure if that really applies today. So you think about, these are high-quality Midstream assets. We know them really well. We're able to acquire them for essentially a nine - ish multiple and trade it up into a 10 times multiple as we created from a sum-of-the-parts basis. And then, I think -- as we think about the future of Midstream and potential consolidation in Midstream. I think rolling up the PSXP gives us more degrees of freedom to create value with those assets. For a long time a lot of the strength, the MLP was a diversity of assets you think about crude oil pipelines and terminals and products pipelines as an NGL assets and we think that by bifurcating those, we'll be able to take those apart and discrete in the future, Kevin or Mark, if you want to add onto that, you are certainly welcome to do that.
Kevin Mitchell: No, I think you've covered it all up. Follow-up around reporting on a go-forward basis, as you know, as a fully consolidated entity, what you see today in our Midstream results reflects all of the MLP. Anyway, that's fully reflected in our Midstream segment results. But we have the cutback down below in non-controlling interest for the third-party public ownership. And so I want to -- once this transaction is closed, you will eliminate that non-controlling interest deduct from our bottom line results. So that's really how it's going to impact the reporting.
Roger Read: Okay. Thanks for that. And then I think my next question is for Bob if he's on, but I've been plug-in Jeff about what's going on with renewable diesel conversion and Rodeo and some of the -- I don't know if I call it pushback, but let's say some of the regulatory issues there. And so I was hoping we could get a little clarity on some of the things we've seen in the press in terms of the size of the project maybe being scaled back, or whether or not that's an accurate depiction.
Mark Lashier : Okay. Yeah. Thanks for that question, Roger. I think, so the critical path on the whole project is a land-use permit in Contra Costa County, and that's -- there's -- in California, you get the opportunity to apply for lots of permits to build something, but this is the big one in a most difficult path through. So we've been working it since we announced the project and I would say overall it's going really well. The environmental impact statement that's part of obtaining that land use permit, was released for public comment about the middle of October. So that's a 60-day comment period. So that's when you saw in there that they identified, and opportunity to reduce the environmental impact to the project, is to make the project smaller. We actually took that as a good sign because by law, the planning commission staff has to identify lower impact alternatives to the project. And the fact that, the only thing that was put in there was, where you could just make it smaller to reduce the environmental impact. It reflected to us that they agreed with us. We had taken every environmental step around, reduction of emissions from the plant, shutting down of the carbon plant, everything we can do to reduce the emissions and the greenhouse gas footprint of the future the project, and that's really all that's left. We take that as, by no means that, they are advocating or that anyone will advocate for a smaller project being built there. This is the project that makes sense, it's the one that uses the equipment that's on the ground and it's very cost efficient to go on convert. So we're in the middle of public comment period At some point the county will start releasing the comments to us, and we'll respond to those, and the period will close in mid-December. It'll take [Indiscernible] the quarter to work its way through those, and we'll be responsive to those. And we still anticipate getting this thing permitted sometime probably late 1Q. And then that frees us up to go start construction.
Roger Read: Very clear and I'm glad you did that for us because I don't speak government ease, but good to know you're still on the right direction. Thank you.
Mark Lashier: You got it.
Operator: The next question will come from Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta : The team and Greg, I guess the first question is on 22 capital spending, typically we get that update. Here over the next couple of weeks, but you've been in relative maintenance spend mode outside of renewable. Just how, how should we think about the cadence of capex? Is the focus still on deleveraging the business, and therefore, we should assume capex close to sustaining levels or are you thinking about toggling some growth into the business?
Greg Garland : Yeah. Well, we've come to big period of build in Midstream, I'd say. We've finished up C2G, [Indiscernible] will finish up essentially this year going into next year, so there's no big spend in front of us in Midstream. Obviously, we have the Rodeo renewed project and we're anxious to get started on that next year. But I think that all fits within the guidance we've consistently given here over the last couple of quarters of $2 billion or less for 2022. If you actually go to our board for approval of the capital budget in December timeframe. But that's, in my own numbers, that's the numbers that we're looking at for 2022. I think that, certainly cash-generation is improving as you can see the results from this quarter, I think we're probably more optimistic today that we're moving towards more of a mid-cycle earnings profile on our refining business. Our marketing specialties has been performing really, really strong this whole year. Kansas has been really strong this year. Midstream has been really strong this year. So as we get refining back to something approaching more mid-cycle, then they increased more optionality around the cash. What we do with the cash, but clearly, we're on a glide slope to pay down debt. We want to get back to that $12 billion pre -pandemic level. And as we've mentioned in the opening comments, we paid a billion down so far this year of that. So we're on a glide slope to do that. But I think the rule mileposts for us as we start thinking about, capital allocation. That first dollar is always going to go to our sustaining capital next dollar goes to dividend. And then when we think about debt reduction, and then hopefully we'll get to a point where we can start working share repurchases back in. So Kevin, if you want to add anything to that.
Kevin Mitchell : No, I think you covered it all. I would say on debt reduction, we are anticipating doing another reduction between now and the end of the year, probably in the order of another $0.5 billion that we'll get in before the end of the year.
Neil Mehta : Thanks, Greg and Kevin. The follow-up is just on the refining environment, strong set of refining results this quarter. Can you just talk about how you're seeing the momentum going into Q4. We've seen distillate start to perform a little bit WCS widen now. Could that translate into numbers? And then if you could take a moment to talk about differentials, one of the things that has surprised I think market participants as how tight the spread between Brent and WTI is which matters for Mid-Con refining. Do you think that's a structural? Or do you think this widens out as U.S. production comes back?
Greg Garland : I'll take a step at that. So we're optimistic going forward and the market setting up, well, setting up for our kit as well too, as you know, we're distillate heavy versus gasoline in the U.S. distillate is over gasoline in every market now, but Chicago, we think better will continue through the winter. You've seen a WCS diffs come off. a few reasons why we are finding problems in the Mid-Con barrels, WCS barrels got to the Gulf Coast, weaken the dip and the Canadian dips followed. And also there were some pipeline issues just this past weekend in Canada, which also helped weaken the dip. We think that dip will strengthen a bit going forward, but we -- we're happy where it is now. In terms of Brent TI s, the Brent TI needs to stay relatively tight as you've seen,
Kevin Mitchell : Cushing inventory. When that happens, we need to keep crude in the U.S. and the best way to do that is to tighten the WTI - Brent differential. So we think it will stay in the $2 to $3 range going forward. So, we think by and large the market's setting up for a good Q4 and is certainly a good 2022.
Greg Garland : I think I would add that as OPEC puts more barrels into the market, those are going to be medium and heavy sour barrels and should result in a wider heavy sour discount, which are kit (ph) is disproportionately benefits from.
Operator: The next question is from Theresa Chen with Barclays. Please go ahead.
Theresa Chen : Hi, thank you for taking my questions. First, just on the PSXP transaction itself. Just out of curiosity, will PSXP electing to take a step-up in PSXP 's tax basis. And do you have an expectation of what that step-up will be and just more generally speaking, what will be the net tax effect for PSX, once taking into account the fact that all of your Midstream earnings will be subject to tax, post MLP rolling?
Kevin Mitchell : Yes, Theresa, it's Kevin. So PSX, we'll be taking a step-up in basis for tax purposes, which will result in additional tax depreciation. We actually get to benefit from bonus depreciation on that also. And so the net cash effect will be about $300 million in 2022 of -- think of it as reduced cash taxes paid. And then about another $100 million the following year. So in aggregate, it's about a $400 million cash benefit to Phillips 66. From an ongoing basis, the primary impact from a tax standpoint, excluding the impact of the step-up in basis, is going to be the tax that we will recognize on that, what today is shown as non-controlling interest, that becomes -- those become our earnings. They're taxable to us, and so we'll be taxed on that -- on the -- on those earnings that we get from the formerly -- the units formerly owned by the public.
Theresa Chen: Thank you for that clear and detailed answer. Maybe if you could talk about your near-term outlook for your European assets, both on the marketing as well as the refining front. Clearly demand continues to rebound as mobility restrictions ease, benefiting [Indiscernible] but energy costs or hydrocrackers specifically. How do you see this situation evolving and how does it impact not only your European assets, but also at a read root to had won in the U.S. and the cost finish for U.S. Gulf Coast assets that place products on the water for export?
Greg Garland : go ahead and start on the marketing assets to recent. And Bob can jump in on the refining assets. In terms of marketing, we continue to build retail in Europe. We've had -- if you listened to Kevin's comments, that was part of the reason why marketing had its second best quarter ever. As people come back in overseas, we're seeing demands, which in the 2019 -- percent, but it's coming back as well. And we continue to re-image and update our stores over there, that's giving us about 2% increase in demand as well. And then, we're looking for some emerging energy opportunities. We've been building hydrogen stores in Switzerland and we're looking for some more opportunities to put in electric pumps and some other things over in the near future.
Robert Herman : Yeah, and on the refining side, you have to think about our Humber Refinery. It's actually the most efficient refinery we have in the fleet. And then you add to that the fact that it's got a pretty large cat cracker and then we got 3 cokers there and all those are fuel gas generating units. And so at the end of the day, the Humber Refinery does not by a lot of natural gas to run the refinery. We see additional costs come through in power purchases and steam that we, [Indiscernible] that's operated by a third-party next door. There is a cost impact, but I think about the overall refining complex in Europe, right? Margins have to rise, or the highest cost producer online. And so everybody -- that floats all boats and Humber will be I think the recipient of them and we've seen that with [Indiscernible] over at Humber. So it's a headwind, but it's not a large headwind by any means, for Humber.
Greg Garland : I think as we look at the impact on demand, it's the high natural gas prices especially New York and Asia are an incremental $0.5 million barrel a day demand to perhaps as much as a million barrels a day of incremental demand globally. So nice increase on the product side as well.
Theresa Chen: Thank you.
Operator: The next question is from Philip Gresh with JPMorgan, please go ahead.
Philip Gresh : Good afternoon. Cash flow before working capital, maybe it's a little bit less than I would have expected relative to the strength of the earnings, and there's some deferred tax and other things in there. Kevin, is there anything unique in the quarter around that, that drove that?
Kevin Mitchell : Yeah, Phil there is. There is actually an offset between working capital, accounts receivable and that deferred tax. So there's a re-classification on tax receivables, either short-term and into deferred. And so in effect, we've -- inflated the working capital benefits at the expense of, reducing the pre -working capital cash flow. That's in the order of $0.5 billion and so on a -- you can do the math on what that really looks like. Because in my mind, I think about the working -- the real working capital benefit being, inventory of about $300 million and then the rest is offset within the Cash Flow Statement.
Philip Gresh : Got it. That's helpful. And just one question on refining. If I look at the Central Corridor results, much improved look at the bridges that you provide, the other part of the bridge was an area of huge improvement, sequentially. I was just wondering if you could -- sustainability of the 3Q results there.
Kevin Mitchell : Yeah. So I think one of the real issues 2Q to 3Q and [Indiscernible] freeze effects and turnaround. [Indiscernible] so we had Ponca down for about 3 weeks because of the freeze. That was a significant hit to us last [Indiscernible] the outage at Wood River, which was another impairment to that. So a lot of that been [Indiscernible] When you start doing the math, when you don't run a lot of barrels last quarter, it tends to kind of, [Indiscernible] in-flight to some extent, on the other -- there's a RIN effect, obviously, in the other, also all combined. So a lot of additive things hit us all at once in the second quarter, in the Mid-Con that just aren't there now and I would classify our third quarter in Mid-Con as we ran well, and we ran normal.
Greg Garland : I would say, also, the market really set up for us in the third quarter. We had an early harvest season. It started early September, which is atypical, no weather delays. Some of our competitors had issues during the third quarter to help us out. We had low distillate inventories as well, and that favors our kit. And we talked about the WCS steps, which we're also wider. So all those things helped us in.
Operator: The next question is from Douglas Leggate with Bank of America, please go ahead.
Douglas Leggate : Hi. Good morning, everybody. Guys, I wonder if I could start with refining on the Alliance write-down. I'm looking specifically at the utilization guidance for the fourth quarter. And I guess we're -- I don't football this fall here, but are we at the point where we're seeing a recovery trajectory for refining? And if so, is that utilization rate so low because it's still including Alliance in the denominator? I'm just curious about how you see that playing out. Maybe you could give us an update on how you think what the next steps are for long at this point, what kind of follow-up?
Robert Herman : Okay. I'll take the first part, I'll let Kevin talk about the write-down, so your two part question there. As we said, we don't anticipate with Alliance running in the fourth quarter. So you can think about that as, about a 10% utilization on a normal basis if we would have been running during the quarter, so we would've been guiding. A little bit of turnaround activity in 4Q, not too heavy. So I would characterize it. We're kind of back to running our system in a normal condition. And so we'll run as the economics dictate and particularly with heavy crude coming, the diffs coming wider, that usually incense us to run several of our assets harder. But then yeah, we keep Alliance in the denominator until it's not in the denominator.
Kevin Mitchell : Yeah, Doug, specifically on the impairment. So with the hurricane and the damage sustained by the hurricane that gave us [Indiscernible] due a fair value analysis around that. And so as a result of that work and that analysis, we took a $1.3 billion pre -tax resulting carrying value of about 200 once we have taken that impairment and that reflects the mission that's in today.
Douglas Leggate : I don't want to labor the point Kevin. [Indiscernible] required for repairs or [Indiscernible] do you see a [Indiscernible] future for aligns in your hands on someone else's hand back at [Indiscernible] Is it going to operate again or is a diamond so much at this point? This are things unlikely to restart than you think?
Kevin Mitchell : Yeah. I think on their point, we continue, [Indiscernible] particularly significant electrical system that hit it, and we have been painstakingly working our way through the assessment of how do you restore operations there. So that will continue as we continue to, as we announced before, seek buyers for the facility. And then we continue to work with those third parties to see what the actual outcome the Alliance Refinery is. It is too soon to make that call as to will it operate as a refinery again or in some other capacity, either for us or somebody else.
Douglas Leggate : Thank you. My follow-up, guys, is just a quick one on PSXP. I don't know the numbers are going to be terribly meaningful here. But just wonder if you could talk us through. Are there any incremental synergies coming out of the consolidation of bringing it back. And obviously, you don't have the accounting function and so on. And I wonder if I could just tag on to that? Again, not a big number, but how should we think about the targets for the combined or consolidated Company leverage that targets going forward now that you've fully got my consent. Thanks.
Kevin Mitchell : How many questions was that? In terms of the synergies associated with the rollout, it's pretty small in the big scheme of things. Now coming clearly, there are some there's some corporate costs, there's the fact that PSXP as a public entity and all the associated costs that go with that will disappear, and so there will be a modest impact, but it's not anything that's going to move the needle when you step back and look at our consolidated financial results. From the standpoint of leverage and debt levels, we already had all of that MLP debt on our consolidated balance sheet. And so as Greg talked, pre -pandemic debt levels that we're trying -- included PSXP, that as well. Until it [Indiscernible] really change anything, in terms of how we think about our go-forward leverage objectives. The roll-up does give us a little bit more flexibility though, because one, we have access to all of the cash, that previously either was distributed to the LP [Indiscernible] Distributions or was excess cash, excess coverage cash becomes available to us for debt reduction, and we also have the PSXP debt available as we think of the options around paying dying debt we have the PSXP debt to consider in that context as well. So just give us a bit more flexibility.
Operator: The next question is from Paul Cheng with Scotia, please go ahead.
Paul Cheng : Hey, guys. Good morning. Maybe that the first one is for Bob. That -- can you -- I know that you're saying in Humber that you have not a lot of -- you don't consume a lot of natural gas, but can you give us an overall in U.S and in Europe. For every $1 per MCF change towards the intact on the optics and your defining margin capture on a dollar per barrel basis. Any plan to change it and become more engaged and own your own store, given the energy transition that we're seeing? People that is the -- I mean, some of your bigger customers become more aggressive in owning the stations. Building the UV charger and all that. Is that -- and to some degree, you are doing it in Europe. So is that -- something that you were also trying to replicate, the wholesale capital-light model?
Robert Herman : Nothing changed.
Kevin Mitchell: I'll take [Indiscernible]. Brian talked about retail plans. So we provided for every dollar change in million BTU net gas price, about $150 million a year across our [Indiscernible] fleet. And you can think about that as about $100 million of that is pure natural gas, and the other $50 million comes through in electricity and steam purchases. Of the 100 million, then it's about global cost line and in the third quarter it is in cost of goods sold, primarily natural gas that we buy to turn into hydrogen. So that's without any mitigating steps within the refining system. Obviously, a lot of refineries have the ability to fuel propane and a little bit of butane and really, the economics to the day we'll drive what we decide to do there. We've also got the novel of turning up severity on cat cracker and making more gas. So there's a lot of moving parts into that sensitivity, but the simplest way to think about it is just 1 block is a $150 million a year. So we can call that $35 million or so a quarter.
Brian Mandell: And Paul, on the retail -- U.S. retail side, we had a small retail joint venture in Oklahoma City, three dozen storage few years ago. In 2019 we stated that, we want to be more in the retail business, especially in markets where you're less opportunities export, markets like the Mid-Con. So we will have, by the end of the year, about 800 retail joint venture stores in the U.S., we're continuing to find stores and buy stores in Middle America, where we're going to integrate those stores with our refinery complex to make sure we have the pull-through. Particularly, as gasoline demand wanes in the U.S. So it will still remain -- retail will remain a small portion of the whole for us in the U.S. But it's a market that we're actively pursuing.
Operator: The next question is from Manav Gupta with Credit Suisse, please go ahead.
Manav Gupta : Hi, everybody. If you could give us some idea of this NVX deal. You're taking 16% interest in them. How did it come out? Stepping into battery is something. We haven't seen you do before or any refiner to -- I mean, what I'm trying to get to is we know you make Melee (ph) Corp, you won't tell us how much you make or what the price is, but we know it's there and I'm trying to understand if they're some synergies between that Melee (ph) Corp and NVX deal that you did.
Robert Herman : I will take that. I'll jump in. Novonix that we've identified 4 key areas that we want to focus on in renewables to generate strong returns that's renewables, batteries, hydrogen, and carbon capture. And so this particularly opportunity falls into the battery filler. And as you noted, we've got a very good feedstock that can be used to generate synthetic graphite to go into anodes, and we went through a screening process, these anode producers are looking at ways to provide -- shorter supply chain options for those that need their services like those that are building electric vehicles and Novonix rose to the top of that screening process in North America, and we liked the team, we liked the technologies they were employing. They've got a low carbon intensity technology to produce the synthetic graphite. They're locating in a place where they can get low carbon electricity, and it's a great way for us to move up the value chain in battery manufacturing and supporting the growth in electric vehicles?
Brian Mandell: I think maybe the other thing I might add is, we know a lot about the specialty coat that goes into the anodes and how to tailor that, and make properties around that. But the further up the value chain we get, the more we can understand the, how we can make those properties special, right? And so that we can drive more value creation, and, at the end of the day, better batteries. And so that's part of what's driving this -- it seek to understand the ultimate customers in this market. So we can help drive performance.
Jeffrey Dietert : I think the other thing I'd add is, there is an increased focus on local content within the U.S. and in Europe. And the advantage of having U.S. facilities serving that market.
Manav Gupta : Thanks Jeff for that. My one quick follow-up here is, look, we understand the chemical margins were off $0.68 of what would not last, but in your opinion, has pandemic fundamentally changed the demand for disposable plastics, which means the mid-cycle could be 5 or 10 or whatever number, over the standard $0.20 to $0.25 per pound. So just trying to understand your outlook for the mid-cycle margins in the chemical space, maybe before the next 2 or 3 years as we see some capacity expansion.
Mark Lashier : We have a mid-cycle margins that there may have been, I think that clearly the plastics industry benefited during the pandemic. I think as there may be some residual effects there, with respect to personal protective equipment and things like that. But I think as the world moves beyond the pandemic, we see things going back to a more normal supply and demand and situation. And I think it contributed to the strong growth that we've seen, And but we don't see it a [Indiscernible]
Manav Gupta : Thank you.
Operator: The next question is from Matt Pickering, Holt. Please go ahead.
Matthew Blair : Good morning. Thanks for taking my question here. CP Chem could you share your a thin outlook over the next, I don't know call it a year. So we do have some new crackers starting up [Indiscernible] ramp of ethane exports. Do you see that incremental demand being covered by incremental production or do we need to pull from either, I guess projection or just overall inventory levels?
Timothy Roberts : Yes. Matt, this is Tim Roberts, and a couple of things on that. 1 is -- there's a couple of drivers that are happening in there. First of all, you still have about a million barrels being rejected, so you've got a sufficient pool that's sitting there that's obviously got to be incented to come out. And so up to this last quarter, it actually was incented to come out. We've seen that flip a little bit here recently. There will be a little bit of pull with a couple of new crackers coming on stream here in the next -- over the next two quarters. But fundamentally, we actually feel that the supply is going to be there. And so it will be sufficient. There's also quite an incentive for people to get out there and make sure they're maximizing gas, production, and then you are seeing, folks out there continue to maintain production. We're seeing NGL is coming off of the crude side, the natural gas side, and then with the rejection that's going on, it feels very sufficient here.
Matthew Blair: Got it, and then on the renewable side, are there any prospects for using renewable hydrogen for your plant and Rodeo? And if so, would that be something potentially near-term or just like much further out?
Robert Herman: Yes. There is a possibility to do that and we continue to explore those avenues, it is not part of the project today. And in fact, we're running mostly third party hydrogen there. So it's really a question for them. But there are opportunities in California to recover renewable natural gas that could find its way to being run by the hydrogen supplier and then that would lower that actually the overall carbon intensity of the diesel we will eventually make.
Matthew Blair : Sounds good. Thank you.
Operator: The next question is from Ryan Todd with Piper Sandler.
Ryan Todd: Yeah, thanks. Maybe the Balance Sheet Cash Flow question. I mean, in very rough terms here, you're exporting capital cash flow this quarter, roughly when. In equal amounts in the capex dividend and debt reduction. I know you talked about another $500 million in debt reduction before or likely during the fourth quarter. I mean, as we think about your balance sheet that would have you down to about $14.5 billion versus I guess your $12 billion pre -pandemic target. As we think about uses of cash in 2022, and you need to get the balance sheet down about $12 billion level before. So at what point does the potential for buybacks kind of become a part of the excess cash flow?
Kevin Mitchell : Yeah, Ryan, Kevin. What we're trying to balance here is first priority is to protect the credit ratings of the A3 BBB-plus credit ratings, strong investment grade. We want to maintain those ratings. And part of getting there is, in the Balance Sheet back to where it was, but it's also a function of cash-generation at mid-cycle or thereabouts levels. And so I think that once we are -- as we're already making good progress on debt reduction. And when we're in that position of we're clearly back in a mid-cycle type environment. We're generating mid-cycle cash flow. There's a very clear line of sight to the ability to continue to reduce debt down to the levels we want to get to. We should have more flexibility to start thinking about the [Indiscernible] The way to $12 billion before we think about alternatives, as long as the cash-generation is there that we can clearly see our ability to deliver continue to deliver, and consider some of the alternatives around capital allocation.
Ryan Todd: Thanks, and then maybe, I guess maybe as a follow-up to that. As you -- mid-cycle environment for the refining business, one of your large peers who reported earlier talked about their prior expectations for 2022 being below mid-cycle and now they see it as potentially being an above mid-cycle year and refining. When you look at overall supply demand dynamics and various trends in the industry, you see 2022, where do you see it on the refining side in terms of relative to kind of mid-cycle expectations?
Kevin Mitchell : It's always hard to call because we -- invariably, when we make a prediction, we get it wrong. But things seem to be shaping up to be somewhere at least close to mid-cycle. And I think the 1 composition that's not there right now are the crude differentials. So we're still lagging on heavy crude differentials. But there's some light at the end of the tunnel on that as well as we start to see OPEC putting more barrels back into the market. So we could see that start to come back in our favor. But that is probably what's keeping us being a little -- maybe a little bit behind mid-cycle at this point in time, but I opened up to --
Brian Mandell: I would say with low inventories across all products with jet-fuel starting to come back, the government opening up international travel to vaccinated travelers by November 8, I think we'll continue to see the light, heavy DIBS expand. We've seen MEH and also Dubai Brent both expand quite a bit from late July to now, so I think we'll continue to see that expansion. Part of that is, this drive to use more sweet crude even overseas, where people -- where hydrogen is costly, so desulfurization is costly. So people want to switch to -- probably want to switch to more light crude diet. So I think that, things are setting up for a good 2022. We hear we'll call it, an average year for us. But it may be better than that depending on, if inventories continue to decrease.
Greg Garland : Look at realized crack, 12 to 19, 3, 2, 1 RIN adjusted. It's $10-$50 a barrel give or take. And we're $8.50- ish in this quarter. So we're not quite back to a mid-cycle crack, but to the point that you raised earlier, I think -- well, I don't think we're bullish. We had time to grow orange yet, but I do think that we're probably more constructive today on 2022 in refining and moving towards mid-cycle margins than we were any time in the past 19 months, I would say.
Operator: The next question is from Jason Gabelman with Cowen, please go ahead.
Jason Gabelman: Hey, thanks for taking my questions. First, wanted to ask about this other refining bucket in that margin waterfall chart, it's been volatile the past couple quarters. I think was as high as $8 a barrel last quarter, back down to 5 this quarter. Is that difference mostly related to range or are there other things going on and where do you see that trending over the next coming quarters. And then secondly, I just wanted to ask about NGL exposure across the business. NGL prices right now are pretty high, propane inventories are low. Do you have an ability to capture some of that price strength in the Midstream, but business and conversely? Is there an impact to your refining business in the winter due to butane blending and any ability to quantify that would help. Thanks.
Robert Herman : I'll take a shot at a couple of pieces of that. You're right, the other category is our most volatile category and we call it other because everything that isn't straightforward is in there, so you've got renefex in there, you've got inventory effects in there. We've also got product differential effects in there, so on -- particularly in the Atlantic basin when European cracks really disconnect from the Atlantic Coast. We'll see, the plus or minus in that category, inventory accounting can move numbers in there quite a bit and there's a few steady things in there, like freight to get our products to market and those sorts of things are pretty steady, but the volatility really comes product dish and that also includes the timing of our realizations for the products we move up corneal pipeline to the East Coast. That can be very volatile month-to-month and quarter-to-quarter. The RIN Inventories, and then just overall market structure in between, the places that we buy themselves our product. It's hard to say that the volatility will slow down. It's kind of always there. The bucket is just outsized right now because of the severe RIN impact that we show in the other [Indiscernible] quarters. On the NGL, [Indiscernible]. Butane blending into gasoline. You run a fair amount. We want to do it if it's economic. So if NGLs prices run up and it doesn't make sense to put it in the gasoline, we won't. Overall in refining as part of our secondary products, we make 4%, 5% NGLs off the refining complexes. So the higher the price for NGLs, the better off we are and lowers that, usually a negative to our income. So overall, we store a lot of our own butane every year to bring back and blend in gasoline but quite frankly, we will sell it into the market if that makes more sense.
Timothy Roberts : On the -- piece, with regard to more along the lines of exposure, taking advantage of the opportunity. You're right, composite barrel's been pretty active. I mean, it's effectively tripled in price here in the last year. But what we do with our system, were predominantly, we're not exposed significantly in commodity cycle there. So we really are fee-based business the way we are structured. Now, what we do, do much like we do with the refining kit is, we have assistant, we're managing around. So as we are buying and selling barrels to optimize our kit, there are opportunities for us to create around this asset and capture and clip a couple of the corners in that process. But it's really to manage and optimize our system to make sure, our barrels as we buy them from the well head, all the way to the point they end up in the market place, That's how we try to position those barrels and we play in that. So we don't have a lot of commodity exposure. It a little bit on our LPG, but that was by design. LPG exports, excuse me. Map was a little bit of that's by design, but most of that business has turned up as well, which should be considered a fee-based business.
Operator: The final question is from Connor Lynagh with Morgan Stanley, please go ahead.
Connor Lynagh: Thank you. I had a couple of questions on federal policy and I know things are early days, but the first is around sustainable aviation fuel, if the incremental credit at or Blenders Credit as discussed right now or it's going to affect how would that alter your thinking around how you're going to configure the Rodeo plant between renewable diesel and Aviation fuel?
Robert Herman : Yes. So today that the design is done, the permit's in so that the opportunity currently to reconfigure what we plan to do there is really not there at this point. But having said that, the refinery itself will make 8% to 10% yield of sustainable aviation fuel that the blenders tax credit as envisioned today, may or may not incent us to do that. It's fairly close. So it will depend on everything else that goes into the margin at that point, whether we actually want to make sustainable aviation fuel or make renewable diesel. And like everything else in the commodity business, we'll let the economics dictate. I think there's plenty of opportunity, as sustainable aviation fuel develops and the market develops for that
Robert Herman : over time to come back and do a de - bottlenecking or add a little bit of kit at Rodeo renewed to make more sustainable aviation fuel is there, and we'll probably make sense, but it's probably going to take more than a $1.5 that the government is anticipating putting out there to make that happen.
Connor Lynagh: [Indiscernible] a couple. The others on carbon capture. And I know you guys have discussed, study and carbon capture as an opportunity. You've got these new target out there for reducing your carbon intensity. So how are you thinking about that? And certainly it would seem that the enhanced incentives if passed would increase third-party developers willingness to build systems. So how are you thinking about it just broadly in terms of the opportunity set for you? And If you were to pursue some largest Gulf projects, would you use your balance sheet? Would you rely on others? How do you think that would look?
Timothy Roberts : I mean, look, this is still evolving as we move forward in this. But we do think carbon capture is going to be key piece of the overall transition and being able to meet some of the targets and goals that have been set out there, whether by 2030 to 2050. It's current capture to maybe key piece of that. I mean, it's already in play currently, just not in a large scale. But we certainly do participate in that. And so a big key piece of that is going to be having a concentration of carbon to capture. I mean, you've got to have areas where there's heavy concentration. You've heard some of the stuff about Houston. And there are other metro areas or industrialized areas, where there may be opportunities to do that as well. We certainly think with our assets and our structure and the products and processes that we do that, it does make sense. Now, the next challenge is, does it make economic sense? We're going to work both sides to that equation, with regard to see, what makes sense and what fits? Whether it's organic, whether it's with a partner, whether it's equity relationships, whether it's technology partnerships. I think at this point in time, we're not going to single in on one way. We're going to find out what the opportunity is and what value is and then determine what's the best path to maximize and optimize values.
Operator: We have reached the end of today's call. I will now turn the call back over to Jeff.
Jeffrey Dietert: Thank you Tim. Thank you all for your interest in Phillips 66. If you have questions after today's call, please contact Shannon or me. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. You may now disconnect.